Operator: Good day, and welcome to the DHT Holdings First Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to hand the call over to your host today, Mr. Eirik Uboe, CFO. Please go ahead, sir. 
Eirik Ubøe: Thank you. Before we get started with today's call, I'd like to make the following remarks. This conference call is also being broadcast on our website, www.dhtankers.com, and a replay of this conference call will be available on the website. In addition, our Form 6-K, embedded in this news release, will be filed with the SEC.
 As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT's prospects; the outlook for tanker markets in general; expectations regarding daily charter hire rates and vessel utilization; forecasts of world economic activity; oil prices and oil trading patterns; expectations regarding seasonal fluctuations in tanker demand; anticipated levels of new building and scrapping; and projected dry dock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from expectations reflected in these forward-looking statements.
 And with that, I'll turn the call over to Svein Moxnes Harfjeld, the Chief Executive Officer of DHT Holdings. 
Svein Harfjeld: Thank you, Eirik, and welcome to the first quarter 2012 earnings call for DHT. Also here with me is Trygve Munthe, President of DHT. I'll then walk you through the highlights of the quarter, and then we will take questions after that. 
 We obtained EBITDA of $15 million in the quarter and net income of $6.3 million, equaling to earnings per share of $0.10. We will pay a dividend of $0.02 per common share and $3.40 per preferred share, and this will be for the quarter and payable on May 23 for shareholders of record as of May 16. 
 During the quarter, we have 2 of our VLCCs in the Tankers International Pool, and they generated an average TCE equivalent earnings of $23,000 per day. The 10 other vessels were on time charter or bareboat charters during the quarter. 
 An important event was that we strengthened our balance sheet through an equity offering and a private placement, totaling proceeds to the company of $76.5 million. We have received the funds from the offering, and this has been a very exciting exercise for DHT. A portion of these proceeds will be used to prepay debt. That will be approximately $13.6 million. And through this, we are creating a very significant runway for the company in 2012, 2013 and 2014 for the company. The balance will be used for general corporate purposes and to grow the company. 
 The equity offering expired on April 27 and as mentioned, closed on May 2, with the proceeds receiving -- having been received by the company. 58% of the offered shares were subscribed for by DHT's existing shareholders. And including the private placement, Anchorage will now have an ownership in DHT of approximately 32%. Judd Arnold from Anchorage will go on the board of DHT. We are very excited about this offering, and we have a like mindset over Anchorage and are very well aligned from the strategic objectives and how we want to go about building DHT. 
 In connection with the offering, as I mentioned, $13.6 million will be used to prepay debt installments, and these are pertaining to the facilities with DVB and DNB.  Following the agreement made with RBS in the fourth quarter of 2011, we repaid $12 million under that credit facility during the first quarter. A fleet appraisal conducted subsequent to March 31 identified a value-to-loan ratio of 110%, while the ratio required under the credit facility is 120%. We expect to remedy this shortfall during the second quarter of 2012. 
 Our VLCC DHT Regal was redelivered from its time charter in March 2012, and it commenced its third special survey and dry dock subsequently. The vessel will enter the Tankers International Pool upon completion of this dry docking, which is happening as we speak. 
 As communicated in the first quarter, we have sold the Aframax Overseas Rebecca. She was sold for demolition and is being delivered also as we speak. The sale resulted in a loss of $0.9 million in connection with this, and the proceeds of the sale will be used to prepay debt under the RBS facility. 
 The Aframax Overseas Ania is expected to be redelivered from its time charter in the middle of May, and we are considering various alternatives for that vessel, including disposal in the line with what we did for the Overseas Rebecca. 
 And with that, we welcome questions from the audience. Operator? 
Operator: [Operator Instructions] We will take our first question from Jon Chappell from Evercore Partners. 
Jonathan Chappell: My first question has to do with the RBS facility and your comments about remedying the shortfalls in the second quarter. What's the magnitude of the shortfall? Are you going to pay that down with the funds from the offering? And are you going to go kind of above and beyond the current shortfall just to give yourself a little bit more leeway if asset prices continue to fall? 
Svein Harfjeld: The shortfall, it's being remedied by a prepayment that would equal $18 million. So there are also other ways to manage it, and we are currently in discussions with the bank how to remedy it. 
Jonathan Chappell: What would some of the other alternatives be? 
Svein Harfjeld: I'd rather not to go into that in detail, but this is currently being discussed. We will, of course, communicate this to the market in due course. If there are other means of remedying them, we'll be paying $18 million. 
Jonathan Chappell: Okay. And now if we just assume that you use $18 million from the offering to remedy the situation and get you back in line with the covenants with the RBS facility, how much firepower or liquidity do you have then to resume a growth phase of the company? 
Svein Harfjeld: It is stated all along. This exercise with the equity offering is a significant recapitalization of the company. And as we look to earn the table [ph], thereby we will be able to pay off once again. We have not made a specific commitment as to how much of those funds will be made available for growth. But I think we have indicated that approximately 50% should be considered for growth opportunities during 2012. 
Jonathan Chappell: And do you think 2012 is a likely time frame? Or do you want to see more stabilization in asset prices before dipping back into the market? 
Eirik Ubøe: I think, as we have said numerous times, it's very difficult to pinpoint the trough exactly. But we believe that values are today at attractive levels, but that's not to say that we think they're going to shoot back up anytime real soon. So we will be diligent and patient and continue to inspect what we consider quality vessels. And when the right opportunity presents itself, we are prepared to strike. 
Svein Harfjeld: It's also important to note that this is not an endgame, right? So this is a process and our ambition is to continue to grow DHT. And this offering has provided us with some growth capital, and we will take one step at a time. 
Jonathan Chappell: Okay. And then just one final question on the offering. I know that existing shareholders have the ability to oversubscribe, were all oversubscriptions met? 
Svein Harfjeld: Yes. 
Operator: We now have a question from Blaine Marder from Loeb Capital Management. 
Blaine Gary Marder: What are you guys thinking in terms of the board level and strategically and contingent -- contingency planning in terms of your ex-corporate parent, if they were to experience liquidity issues or if they were to file -- I mean, what are you thinking in terms of contingency planning if those ships had to indeed hit the market? 
Svein Harfjeld: I think this equity offering, on a general note, as we stated, is significantly capitalization of the company, and this should put us in a position to weather the storm, whether that also would be to include losing some of the fixed revenues that we have. So the company is certainly planning for kind of a challenging market in general, although we're not planning for our customers to not honor their obligations as such. 
Blaine Gary Marder: Okay. Is this weighing -- sorry. 
Svein Harfjeld: But in general, I think we have a prudent capital structure of the company, and that is a reflection of a tough time to market in general. 
Blaine Gary Marder: Might you wait to do an asset purchase until you see if they can sort of weather the storm themselves? 
Svein Harfjeld: I think, we are, of course, following the company in question, and I think they have demonstrated their intent. They have filed their self and whatnot. But it's not for us to communicate specific analysis of this company. So for us it seems that the company is very serious about their business and how to also kind of head on in this challenging market as with everybody else. 
Operator: We now have a question from Hilary Shane from Ods Capital. 
Hilary Shane: If you subscribe to the rights offering, are you going to get your shares prior to the dividend because there's obviously an x dividend date of May 11 coming up and obviously, if you subscribe you'd hope to get that dividend? 
Svein Harfjeld: That is correct. So if you subscribe in the offering you will be entitled to the dividend declared for the first quarter. 
Hilary Shane: And when would we anticipate people getting shares into their account? 
Svein Harfjeld: They are being issued as we speak. 
Operator: [Operator Instructions] We have a question now from Jeff Rudner from UBS. 
Jeff Rudner: Congratulations on a successful right offering. Going back to the rights offering, some additional questions, if I might. According to the press release, you've mentioned that 58% of the existing shareholders subscribed to the rights offering? 
Svein Harfjeld: Yes, correct. 
Jeff Rudner: Okay. Does that mean that people who oversubscribed were able to get almost one-for-one on when their oversubscription was? 
Svein Harfjeld: So the 58% includes oversubscriptions. 
Jeff Rudner: Includes the oversubscriptions? 
Svein Harfjeld: Yes. 
Jeff Rudner: Okay. And next question, if I remember correctly, the rights offering was for 200 shares and 1 preferred share, which would be -- ultimately be converted into another 200 common shares? And if I heard you correctly, you said you had to get authorization for the additional common shares? 
Svein Harfjeld: That is correct. 
Jeff Rudner: Okay. When do you anticipate that happening? 
Svein Harfjeld: So we are planning for the annual general meeting in the company to take place towards the end of the second half of this year -- no, no, the first half, sorry, end of June. So we are arranging for the proxy statements to be distributed 4 weeks ahead of that. And that will be top of the agenda where this will be one of the items for the shareholders to vote for. 
Jeff Rudner: I'm sorry, I missed that last part. You're having -- the authorization take place at the annual meeting before the end of the first half. And when will you anticipate the conversion from the preferred shares into additional common shares taking place? 
Svein Harfjeld: Well, the conversion will happen as soon as practically possible after the AGM and possibly approving the increased number of shares. 
Operator: We now have a question from Doug Smith from Everest Group. 
Douglas Smith: Wanted to ask about the dividend that was declared on the preferred shares, and then I noticed that the declared dividend was less than the dividend would be on the equivalent number of common shares to which it would be converted. And my question is why did you -- what was the thinking behind setting the dividend rate at a discount to the equivalent common share? 
Svein Harfjeld: It was part of the whole equity offering with the preferred stock and communicated in the prospectus supplement in relation to that offering, that the dividends on the preferred shares would be 85% of dividends on the common shares. So that ratio, if you like, has been fixed for 2012. So it will be 85% of dividend declared on the common shares. 
Operator: [Operator Instructions] We have a question now from Stephen Journeys [ph] who's a private investor. 
Unknown Shareholder: I have 2 questions. One, can you provide some more color on the 58% acceptance on the offering? What percentage of investors actually took up their offering? And therefore, what percentage of the dollars was the primary subscription? What was the oversubscription amount? And the second question is can you give an update on anything you're thinking or discussion that you're having regarding New York Stock Exchange notice of the stock trading below the $1 level? 
Svein Harfjeld: Your first question, the split was approximately 50-50 subscriber -- regular subscribers and oversubscriptions. When it comes to the notice we have received from the New York Stock Exchange, we intend to also remedy it, and that will be also part of the AGM in June. A typical way of remedy would be to seek approval for a reverse stock split. So that is currently being considered by the company. 
Unknown Shareholder: Did you receive any color or feedback from investors who chose not to participate in the offering? And if so, can you share that with us, please? 
Svein Harfjeld: No, we have not. 
Operator: [Operator Instructions] We have a question now from Bob Butler [ph] from SLR. 
Unknown Analyst: Congratulations on the successful right offering. What effect do you anticipate that the reverse stock split, if adopted, would have on the present share price? 
Eirik Ubøe: I think that's simple mathematics. If you take 5 existing shares and combine them into 1 new share, we would expect that the share price becomes a multiple by 5. As an example. 
Svein Harfjeld: .
 And I think the other element of this is that following the rights offering and then assuming that we get the approval to increase total number of shares, we will have a fairly large share count. So following a reverse split, at whatever multiple that ended up to being concluded at, we will also then consider the share count that will be following such a split. So it will still create ample productivity in the market for people to trade in our stock. 
Unknown Analyst: Also sir, one last question. I perhaps missed this, will all oversubscriptions be honored completely? 
Svein Harfjeld: Yes, that's correct. 
Operator: We have no further questions. Gentlemen, I'd like to turn the conference back over to you for any additional or closing remarks. 
Svein Harfjeld: Again, thank you very much for attending the first quarter 2012 earnings call for DHT and showing interest in our company. Highly appreciate it. Thank you very much for your attendance. Have a good day. 
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.